Operator: Good morning, and thank you for standing by. This is the conference operator. Welcome to Torex Gold's Fourth Quarter and Full Year 2024 Results Conference Call and Webcast. As a reminder, all participants are in a listen-only mode. And the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Dan Rollins, Senior Vice President, Corporate Development and Investor Relations. Please go ahead.
Dan Rollins : Thank you, Galen, and good morning, everyone. On behalf of the Torex team, welcome to our Q4 and full year 2024 results conference call. Before we begin, I wish to inform listeners that a presentation accompanying today's conference call can be found under the Investors section of our website at www.torexgold.com. I'd also like to note that certain statements to be made by the management team may contain forward-looking information. As such, please refer to the detailed cautionary notes on Page 2 of today's presentation as well as those included in the Q4 2024 MD&A. On the call today, we have Jody Kuzenko, President and CEO; and Andrew Snowden, CFO. Following the presentation, Jody, Andrew and I will be available for the question-and-answer period. This conference call is being webcast and will be made available for replay on our website. Last night's press release and the accompanying financial statements and MD&A are posted on our website and have also been filed on SEDAR+. Also note that all amounts mentioned in this call are U.S. dollars unless otherwise stated. I'll now turn the call over to Jody.
Jody Kuzenko : Thank you, Dan, and good morning to all on the line. Welcome to the Q4 and year-end 2024 Torex results call. The agenda and speaker for today's call will be a little bit different than usual. First, the big news is that we've officially started our planned shutdown at the process plant to enable Media Luna tie-in. This means that Dave Stefanuto, our EVP of Projects, is at site this week, and I will provide the Media Luna portion of the quarterly update. So I'll take you through the usual business highlights for the quarter and the full year, then the Media Luna progress report. Andrew will then address the financial results for the quarter and year-end, and Dan Rollins will join the call this quarter to provide the update on exploration. But before we get on with our usual business, I feel compelled to start the call today with some commentary on safety. Whether you're familiar with the Torex story or not, if you follow the industry, you'll know that Torex had an unthinkable event occur on December 5, where three men lost their lives to carbon monoxide exposure, two experienced staff employees and one contractor. If you do know the Torex story, you would know that a massive part of our company vision and my own personal vision is to set the standard in the mining industry on safety. And we've been doing just that, 18 million hours lost time -- lost time injury-free at our operating sites, seven years fatality-free, winning awards and recognitions for our safety culture and performance, yet on December 5, we had a multiple fatality incident on our ELG underground mine. Carbon monoxide is a well-known, well-understood hazard in underground mining. It's a byproduct of blasting. Gases get created and CO is one of them. For this reason, the entire mine schedule is set up around blasting and blast gas clearing as ours was at ELG underground. CO above certain limits is immediately deadly. You can't see it, you can't smell it, you can't taste it. And for this reason, we have strict protocols in place about wearing personal CO monitors and restricting areas pending ventilation being installed. And this was all in place on the date of the fatality. On December 4, we took a long-hole blast at the end of day shift. Nothing in the area happened on that night shift. And day shift December 5, two contract employees were assigned to establish ventilation to the area. A few hours later, two staff employees, our ventilation supervisor and the blasting engineer, the actual engineer who designed the blast, approached the area. The evidence of the surviving contractor is that he told these two employees not to enter the area, ventilation hadn't been established yet, and this is supposition on my part. We will never know. These two employees entered. I think the blasting engineer would have wanted to be the first to see the results of his hard work. They rationalized taking that risk probably on some, sort of, logic of I'll just be there for a second, and they entered on foot, one went down, one ran out for help, and that one enrolled the other two contractors to rescue, the down employee. All three went in, one came out. So in a matter of minutes -- three men are dead, one survived and has recovered. Families, friends, colleagues and our team here are still picking up the pieces. This shows us a few things. First, the mining is inherently hazardous. We cannot engineer out that hazard. It also shows us that even we have all of the best systems, rules, culture and conditions and when they're all in place, we're down to human behavior and human choices. People make choices to do something for just one second. And invite everybody on this call to think about that the next time you choose to look at your phone while you're driving or take just one second risk. It also shows me that we have more work to do with our employees at all levels about risk-related choices, and we're doing just that. Now turning to our full year performance. I wanted to open with the usual overview of our strategic pillars on slide 4, which you may have noticed have evolved slightly from our Q3 earnings call. Our strategy is not changing. It's evolving in subtle ways to reflect how much progress we have made over the last four years on execution. Our first pillar, for example, now reflects that Media Luna construction is nearing completion, and our focus turns to ramping up to commercial production and hitting the designed mining rate of 7,500 tonnes per day. With the excellent progress we've made on our underground development, we now expect to achieve this mining milestone by mid-2026, six months ahead of the schedule we set out for ourselves in the technical report. And then no sooner are we done the first, we're on to our next mine at Morelos. We're investing $30 million to $35 million this year to kick-off EPO construction in the middle of the year. Now this is a much simpler, faster, cheaper build than Media Luna. We expect first production from EPO by the end of 2026. Our next pillar focuses on our optimization plans for Morelos. As Media Luna gets up and running this year, we're already planning to optimize various aspects of production and logistics, looking for ways to streamline performance to run safer, faster and cheaper. Next, on grow reserves and resources, you'll recall that we've increased our exploration budget this year to a record $45 million, up from $30 million last year, and Dan will touch more on this before the end of the call. On disciplined growth and capital allocation, our balance sheet remains in excellent condition with over $330 million of available liquidity. Coming out of the Media Luna build in a solid position to begin returning capital to our shareholders this year, and Andrew will cover off our financials in detail shortly. I retain and attract talent. Our workforce transition program for Media Luna is tracking to plan with over 80% of the workforce required for Media Luna now in place, which included transferring almost 200 employees from ELG open pits during the course of 2024 and recruiting another new 140 employees. And finally, on industry leader in responsible mining, subsequent to year-end, we saw good improvements on our S&P Corporate Sustainability Assessment. We now rank in the 87th percentile of the metals and mining sub-industry. Our score is now 52 out of 100, compared to the average score for our sector of 30 out of 100. This assessment covers all facets of our operations. So I'm pretty proud here of the good work that goes on behind the scenes that get reflected in our score improvements each year. On slide 5, the chart you see on the left reflects the consistent performance Torex has come to be known for. In 2024, I'm proud to say that we achieved our annual production guidance for the sixth year in a row. While our cost performance landed towards the upper end of our guided range, our margins remained robust at 49% for the full year. We generated record annual revenue in 2024 of over $1.1 billion and record annual adjusted EBITDA of over $540 million. Q4 marked the last quarter of significant spending on Media Luna. So overall, we were free cash flow negative on the year as expected. However, and this is important, including -- excluding the nearly $450 million we invested on Media Luna through the year, the strong performance from ELG generated free cash flow of $326 million, bolstering our already excellent liquidity position and a very good indicator of what is to come for Torex. Our operations also set new records in 2024, which are highlighted here on slide 6. Q4 production and throughput at the processing plant were lower compared to prior quarters, given the temporary suspension we experienced in December. However, annual recoveries were more than 90% at 90.6%, which is a record for the company. At ELG underground, mining rates were well-above 2,000 tonnes per day for most of the year, setting a new annual record of nearly 2,100 tonnes per day. And you can expect to see rates here at ELG underground average around 2,800 tonnes per day during 2025, given the plan to leverage long-haul open stoping where some of the deposit steepens up in the underground mine. Speaking more broadly to 2025 guidance on slide 7. Given the four-week shutdown at the processing plant needed to complete Media Luna tie-ins, production is expected to be lower this year compared to last, with quarter one being the weakest quarter. We expect production for the remaining quarters of 2025 will return to more usual levels and be relatively consistent quarter-over-quarter starting Q2. Given the production plan, all-in sustaining costs are also expected to be higher than in 2024, reflecting the lower finished ounce production and the fact that we'll be ramping up and building out economies of scale at the Media Luna mine. The higher costs also reflect the impact of the higher metal prices in 2025. Guidance is based on $2,500 per ounce gold versus $1,900 per ounce in 2024. I want to caution here that the calculation of gold equivalent sales is highly dependent on the metal price ratios. For example, a strong gold price relative to copper and silver this year will lead to a lower gold equivalent sales number and therefore, higher AISC. The opposite would occur if the price of gold were to weaken relative to copper and silver. Now within the year of 2025 itself, given the production plan, costs will likely trend above the top end of the guided range during quarter one before improving slightly in quarter two and then further in Q3 and Q4 with Q4 ASIC expected to be near the low end of the range, all else being equal. Further economies of scale are expected through the year of '26 and into '27 as Media Luna reaches full throughput of 7,500 tonnes per day and EPO comes online. The message here is twofold. First, 2025 will be anomalous on ASIC at 1,400 to 1,600 that we've guided, and the issue will be most pronounced through the first half of 2025. Finally, on this slide, on CapEx guidance, 2024 marks the final year of heavy investment in Media Luna. And as such, total nonsustaining CapEx is forecast to be in the $90 million to $100 million range this year, significantly less than the $460 million incurred in 2024. Sustaining CapEx this year is forecasted to be a little bit higher than last year, reflecting the start-up of Media Luna. So our development costs, our equipment lease costs and other Media Luna costs will now be in sustaining moving forward post quarter 1. Turning to an update on Media Luna here on Slide 9. Firstly, it's likely on the minds of many. I know it's certainly on mine is what I opened with. Earlier this week, we commenced the 4-week time period for Media Luna, bringing us one step closer to bringing the project to a close. This started on February 18, and when everything goes as planned, we expect to restart the mill on March 18. In terms of broader project progress, we provided our Q4 Media Luna update release a few weeks ago. As at year-end, overall project progress sat at 94% complete with the largest single outstanding item being construction completion of the paste plant, which will happen towards the end of quarter 1. Engineering was completed last year in quarter 3 and procurement is essentially complete with all major deliveries required to support the start-up of operations now on site. Only minor deliveries remain outstanding, including some automated valves, some minor instrumentation and some underground pipe for the paste distribution system. Importantly, we're tracking very nicely to plan and in some cases, ahead of plan in Media Luna underground. And I want to emphasize that this work does not stop during the process plant tie-in period. Most of the definition drilling for the 2025 mine plan is now complete, and we've already commenced the definition drilling for the stopes that are in plan for the year of 2026. We're targeting to have at least 1 year of stope inventory at all times at Media Luna going forward. Additionally, monthly underground development rates are tracking at 1,300 meters per month compared to the budget of 1,200 meters per month, and this is with our own crews. So we don't expect any transition issues moving forward. The headway we've made both on definition drilling and in underground development has put us ahead of our feasibility study time line to achieve Media Luna's design mining rate of 7,500 tonnes per day, 6 months ahead of schedule. So the target for that is middle of next year. Elsewhere on surface works, paste plant construction is coming along nicely and is on track for commissioning in early quarter 2. Installation of the power infrastructure is now substantially complete with the 115 kV system, that's our low-voltage system fully energized and operational that happened in December and the transmission line between the 230 kV switchyard and the 230 kV substation, that's our high-voltage tie-in. That will be completed this quarter and energized in Q2 concurrent with the commissioning of the paste plant. With the plant tie-in having just started, we're on track to produce first copper concentrate by end of March. We've given ourselves 9 weeks to bring the new flotation circuits up to steady state, and this is with respect to recoveries and copper concentrate quality at 9 weeks. We do expect commercial production will be declared prior to the nine weeks towards the end of April. The mill is not expected to be an issue ramping up, given that it's the same front-end grinding circuit we currently operate, and we've got plenty of experience stopping and starting mills, something that occurs each maintenance period. Slide 18 shows some of the pictures of the areas I just touched on. The flotation circuit there is on the top left. You can see, it's currently undergoing tie-in and commissioning -- pre-commissioning activities. With the copper concentrate storage facility at the top right, substantially complete, we'll be ready for first copper con at the end of March. The 230kV switchyard I just talked about is shown in the bottom left picture and will be connected to the national grid in quarter two. And you can see the progress being made on the paste plant construction in the bottom right, where the focus is on mechanical assembly of the two large filter presses. And with that, I'll turn the call over to Andrew for financials.
Andrew Snowden: Okay. Thank you, Jody, and good morning, everyone. I'll start my comments first looking at slide 12, just to walk through our Q4 and full year 2024 financial performance. As Jody mentioned, our strong operational results supported by the backdrop of a strong gold price resulted in record revenue of $1.1 billion, robust margins of 49% and record adjusted EBITDA of over $540 million. This performance supported the investment in Media Luna through the year. With Media Luna capital spending pretty much behind us now, expenditure will decline through Q1 as we approach first concentrate production at the end of March, and then declare commercial production shortly thereafter. We've guided to approximately $60 million of project-related expenditure at Media Luna in the first half of this year. And of this amount, approximately half is related to underground development, which would have otherwise been categorized as sustaining capital. And that's given the rescheduling of the tie-in period to February from last November. The remainder of the capital relates to finalization of surface construction activities, including the plant tie-in and paste plant construction. With this decline in project spend, we're well on track to pivot back to positive free cash flow mid this year with the ramp-up of Media Luna. At spot metal prices, I'd expect over $400 million of free cash flow per year going forward, starting mid-2025 and excluding non-sustaining expenditure associated with EPO and potential future growth opportunities. Turning next to Slide 13. I just wanted to briefly review our unit cost performance for the year. Firstly, you can see here at the open pit, we saw higher unit costs year-over-year as the volume of material mined reduced with these operations approaching the end of life. In addition, maintenance costs were higher through the year as we extended the life of the aging fleet to avoid higher cost replacements knowing that these pits were sunset by mid this year. We've also done great work on transitioning our open pit workforce to Media Luna underground, which required us to backfill their vacant positions with contractors at the open pit, and this did incur some marginal higher operating costs there. At ELG underground, there's not much really to note here as mining costs were consistent year-over-year. At the plant, processing costs did increase compared to 2023, and that really just reflects the higher cyanide consumption seen in the year due to increased levels of copper and iron in the ore as well as slightly lower tonnes processed year-over-year. And finally, on PTU, as this is linked to our profitability, the record gold prices this year did result in higher PTU. Turning next to slide 14. You can see here our cash position continues to remain above our $100 million strategic objective, although it is lower compared to the end of 2023, really given the $450 million spent on Media Luna last year. To support this capital investment through the year while maintaining the $100 million of cash, we did draw on about $65 million on our credit facility as at December 31. As we finalize the Media Luna build here through Q1, and this includes the impact of the four-week shutdown and the seasonality of our cash flows, I expect to have a total of $150 million to $200 million drawn on the credit facility at the end of Q1, and so around another $85 million to $135 million draw in the quarter. This will have us exiting the Media Luna build with between $50 million and $100 million of net debt, excluding leases, with this debt then being repaid back quickly in 2025, given the projected free cash flow going forward. On the theme, though of Q1 being our peak drawdown period on the credit facility, I did want to just remind those on the call again on the seasonality of our cash flow, and this is really illustrated on slide 15. Q1 is slated to be our lightest quarter from a cash flow perspective and really driven by a number of factors. There's the four-week tie-in at the plant for the Media Luna project, and so that will result in Q1 being the lowest quarter of production for the year. In addition, there are several royalty and tax payments in the quarter. Firstly, the payment of the true-up of our monthly income tax installments to our final tax return in March. I expect that will be about $45 million, which is higher than the prior year given the strong profitability. There's also the annual mining royalty. This is accrued throughout the year and also paid in March. For the 2024 year, this payment will be approximately $35 million, again, higher than prior years given the metal price strength. And just to note here, starting in 2025, this royalty did increase by 1%, so from 7.5% to 8.5%, and this will impact the payment that's due in March 2026. It will not have any impact on the payment due coming up here in March 2025. And finally, for Q1, there's also the 0.5% royalty related to proceeds from gold and silver sales. This royalty is also accrued monthly but only paid annually in Q1 of the following year. I expect this payment to be about $5 million this quarter. And also going forward, this royalty did increase from 0.5% to 1%, and that will be impacting our payment in Q1 of 2026. While we're talking cash flow seasonality, just a brief note on Q2 as well. Q2 will see the impact of the Mexican profit sharing payment. Again, that's accrued monthly but paid out annually in May. The payment that we expect to make this May -- May of 2025 will be approximately $30 million. Slide 16 shows our balance sheet and liquidity position at the end of the year. And with liquidity of about $330 million, including $110 million of cash and the $221 million available on our credit facility, we're really posed to exit the Media Luna build in a strong financial position without losing upside on our margins by means of a royalty or a stream or diluting our shareholders to fund the build. The build was almost all funded with our own operating cash flows. As noted earlier, I expect we'll finish the build with a net debt position, excluding leases of between $50 million and $100 million. Touching next on our hedging position on slide 17. Given the volatility we saw in the Mexican peso last year, and that did impact our operating costs through the year, we continue to look at ways to prudently manage our exposure to potential swings in the peso, and we did enter into a mixture of zero cost collars and forward contracts to provide protection to our peso-denominated operating costs. The details of these hedges are summarized on the slide you can see here and provide protection for about 60% of our peso operating cost exposure in the year. On gold sales, Q4 marked the final quarter of gold forward contracts entered into to protect the Media Luna build, and there are no plans to place any further go-forward contracts going forward. However, to note, we did purchase some attractively priced gold put options at $2,500 an ounce to protect downside risk to the gold price in the Media Luna ramp-up here, while leaving us to fully benefit from upside in the gold price. Finally, on slide 18, I just wanted to take a moment to remind everyone about our transition to being a producer of a gold-rich copper concentrate in late March of this year. And that will be a primary product for us in addition to ongoing production of gold doré. This transition will bring changes to our sales, logistics, revenue recognition and working capital. Firstly, just to note, there will be no change to the revenue recognition and sales cycle of doré that will continue as it always has been. But this year, about 50% of our revenue will be sourced from this gold-rich copper concentrate. You may recall, I touched on our copper con sales process at our Investor Day this past September. And so feel free to go back to the presentation on our website for further details there. But I'll just make a few recap comments as a reminder on some key points here. The copper concentrate that we will produce at site, as a reminder, that will be trucked through daily Convoy to the port of Manzanillo on the Pacific Coast of Mexico. So that transit will take about two days. This material will then accumulate at the port to our warehouse there until it reaches the optimal lot size for shipment, and that's between 5,000 and 10,000 tonnes before being shipped to the destination port for processing at a smelter. Of our total copper con production in 2025, 80% of this roughly will be sold to traders and about 20% directly to smelters. But we've also left some room within our sales strategy to sell a portion of our concentrate in the spot market as required. This slide also provides a bit of a breakdown on payability and payment schedules between traders and smelters. For traders, we expect to recognize revenue on delivery to the Port of Manzanillo and we’ll elect to receive weekly advanced payments based on those deliveries. For these sales, I would therefore expect very little impact to revenue and working capital. There will be quarterly mark-to-market adjustments recognized on these sales, and that's based on the movement in forward commodity prices until final settlement occurs. For smelter sales, revenue will be a bit lumpier as I expect we'll recognize revenue on loading of the vessel at Manzanillo, and so we will need to accumulate the full lot before recognizing revenue. This could take between one to two months. And then post recognition, we will also have the mark-to-market adjustments until final settlement. On collection of -- for those sales, the smelter terms are much more delayed. However, I expect to have a financial intermediary between us and the smelter to accelerate payments. And if anyone wants to talk through any of the details relating to these copper concentrate sales, happy to do that, so feel free to reach out. With that, I'll turn the call over to Dan.
Dan Rollins: Thanks, Andrew. Turning to Slide 20. 2025 marks the next evolution of our exploration strategy, given we have now shore up the production profile for the next 10 years with the addition of EPO to the mine plan. In 2024, we spent roughly $26 million on drilling and exploration, which was below the original budget of $30 million. The amount of drilling was impacted in 2024 by the move to a new drill contractor, which impacted the pace of drilling during Q1. The pace picked up significantly in the second half of the year. Turning to the 2025 program. The key focus will be getting us to a place where we can consistently replace reserves and resources year-after-year while starting to test high priority targets, primarily from areas we don't currently have mineral resources. As Jody mentioned, we have budgeted $45 million for drilling and exploration this year, more than a 50% increase over last year's spend. We expect to drill just under 125,000 meters this year across the whole property, which is almost double the meters drilled in 2024. The largest component of the spend is within the Media Luna cluster, where we will resume step-out and infill drilling at the main Media Luna deposit continue drilling off Media Luna West, drill test Media Luna East and commence an inaugural drill program at Todos Santos. Drilling will also continue at EPO with the pace of drilling more back half weighted, which coincides with the development of underground exploration drift off the South Portal Upper. This decline is expected to allow us to more efficiently drill off EPO and improve the drill density within the main area. Like prior years, drilling at ELG underground will remain a key priority as we look to continue the trend of extending the life of the deposit by expanding and upgrading resources to replace reserves. We are also looking to improve the overall grade by targeting higher-grade mineralization, specifically where the faults intersect the main structural corridors. 2025 will also see us expand our regional program with initial drilling planned at both Escala and El Dorado, two high-priority targets. We're actually quite excited about Escala. It's a very large area of the land package. And right now, 16 targets have been identified, and we'll drill the first 3 off in 2025. Slide 21 shows how these targets rank on our exploration pipeline and speaks to the numerous opportunities we see at Morelos, which can improve the overall profile of the business over the near, medium and long term. With our year-end reserve and resource update in March, we'll update this image to show the progress we made in 2024. I believe these targets will see us deliver on our strategic objective of sustaining annual gold equivalent production of at least 450,000 ounces through 2033, while allowing us to continue to extend the overall mine life of Morelos. News flow-wise, I expect we'll release the results of drilling for Media Luna West in the next several days and publish our initial -- our year-end mineral reserve and resource update before the end of March. Given the pace of drilling expected in 2025, I expect a more consistent cadence of drilling on drilling releases this year, likely with the release on drilling about every two months. With that, I'll turn the call back over to the operator for the question-and-answer period.
Operator: Thank you. We'll now begin the question-and-answer session. [Operator Instructions] Our first question is from Cosmos Chiu with CIBC. Please go ahead.
Cosmos Chiu: Hi, thanks, Jody, Andrew and Dan. Maybe my first question is on Media Luna. As you mentioned, you are expecting to declare commercial production shortly after the tie-in is complete. What's your definition of commercial production? And when can we start expect -- when can we start to expect depreciation on the Media Luna CapEx to be taken?
Andrew Snowden: Cosmos, so thanks for the question. It's Andrew here. I'll take that. And so when we look at commercial production, there's a few different metrics that we look at both underground mining rates and development rates as well as plant throughput and recovery rates. We expect we'll hit those various criteria relatively quickly. I think the expectation at this point will be about 30 days from bringing the plants back up. We'll likely declare that in and around a month end to make kind of financial reporting easier. And so the way that I would kind of think about commercial production would be kind of at the end of April of 2025. And then at that point, we would start to depreciate the Media Luna assets from effectively May 1 going forward.
Cosmos Chiu: May 1. Okay. Thank you. Potentially. Maybe another question for Andrew or maybe Jody, but it's on taxes. As you mentioned, there is a true-up for Mexican taxes that will be paid in March. As you mentioned, the true-up is a bit higher this year compared to previous years, given the higher profitability. I'm just wondering like you spent a bit of money on the CapEx for Media Luna. I would have thought that there would be some kind of tax benefit or tax offset coming from that CapEx? Or is that coming through somewhere else?
Andrew Snowden: Yes. So you're right, Cosmos, and Andrew here again. We will get a benefit from that Media Luna expenditure. Really, we start to take the tax deduction almost consistently with when we kind of hit commercial production. And so we haven't really seen the benefit of that expenditure yet. But as we start to depreciate the asset for accounting purposes this year, we'll also start to depreciate the asset for tax purposes, and we will see that benefit come through in our kind of later in 2025 through our installment payments and then with any true-ups that we have in 2026.
Cosmos Chiu: Great. And maybe one last question. During this tie-in period, 28 days, what kind of news flow can we expect from the company to maybe help us with gaining confidence that the tie-in is going well?
Jody Kuzenko: Hi. It's Jody here, Cosmos.
Cosmos Chiu: Hi, Jody.
Jody Kuzenko: It's not going to be day by day or week by week. Certainly, we'll be tracking that internally, but I wouldn't expect a regular news flow during the tie-in period. When all things -- I'm not using the word if here, but when all things go well, you can expect information from us, March 18 that we're bringing the mills back up. And I expect the big splash will come at the end of March, when we have our first copper concentrate production.
Cosmos Chiu: Of course. Thank you. Certainly looking forward to it. Those are all my questions.
Jody Kuzenko: We are as well. Thank you.
Operator: The next question is from Don DeMarco with National Bank. Please go ahead.
Don DeMarco: Thank you, Operator and good morning, Jody, and team. Jody, thanks for your comments on safety at the beginning of the call, certainly something for all of us to take to heart. And congratulations on the financial beat in Q4. But first question for Andrew, s o Andrew, 2025 non-sustaining CapEx is guided at $90 million to $100 million. How much of this should we model in Q1 and Q2? How should we think about the distribution of this over the year?
Andrew Snowden: Yeah. And so we've -- within our January guidance note, Don, I think we provided a bit of color on what was in that balance. The main kind of key expenditures relate to $60 million from Media Luna. I think that's primarily earmarked for Q1 of this year. There may be some -- there will be some amounts that continue through the beginning of Q2 until we hit commercial production, but the majority of that would be Q1. And another key amount within that guidance relates to EPO. So that's about $30 million for the year. That will be back-end loaded. So that will be kind of Q3, Q4 in terms of kind of timing and so that's the general guidance that I would provide.
Don DeMarco: Great. Thanks. Okay. So that's helpful and then next question to Dan, Dan, so you mentioned Slide 21 showing the pyramid of targets, does the company have a target level of resources to find this year or potentially over the next three to five years?
Dan Rollins: We have sort of high-level targets what we're looking at from the different assets, but it really depends on the pace of drilling and the focus where we're going to be drilling. This year, it's the first time really that we stepped out within the Media Luna cluster. So again, Media Luna West will see more drilling, no resource on that this year. Potentially, we'll have that by the end of this year. Media Luna East really is just going to see its first drill holes that are going to really step out there. Total Santos has never seen a drill hole. So a lot of the drilling we're going to be doing in the cluster is actually looking at defining should those targets be drilled going forward based on success. And similar to what we're doing at El Noranjo and at Atzcala, really just doing some drill testing to find out if they pass that next stage gate. If they do, they'll see more drilling dollars in the future. We have a long-term potential here. Like we've got a mine plan that goes out for 10 years, as we mentioned to many on the call, we think we'll be mining here for 20-plus years longer. We've drilled off a very small amount of the overall Media Luna cluster of the overall property. So we do see a lot of potential there. Do we have exact targets? Not that we're going to put out publicly right now. But again, we're spending $45 million a year this year. I think that demonstrates our commitment to exploration and growing the overall resource base.
Don DeMarco: Okay. Thank you. Okay. I certainly a lot of names in that pyramid and so we'll look for this continued news flow on exploration in addition to the ramp-up of Media Luna over this year and the years to come. Okay. That's all for me. Thank you and good luck with the Q1.
Operator: The next question is from Eric Winmill with Scotiabank. Please go ahead.
Eric Winmill: Great. Good morning, Jody and team. Thanks for taking my question. Just on the cyanide consumption, there was some interesting commentary in your disclosures about cyanide consumption levels. I'm wondering how we should think about that going forward with Media Luna and maybe more specifically in terms of the cost impact there? Any color would be appreciated.
Jody Kuzenko: I'll take that one, Eric. The cost impact of cyanide consumption as we transition to Media Luna Feed has been built into our guidance. And so we closed 2024 with a consumption rate for the year of just above 3.5 kilograms per tonne. That was up almost a full kilogram a ton from 2023 rates. And one of the key reasons for that is as the open pits were sunsetting, we had much less ability to blend the feed at the front of pipe going into the plant for levels of soluble copper and levels of iron sulfides. So our limited ability to blend will continue moving forward as we bring on Media Luna underground feed and mix that with ELG underground feed. But the way you should be thinking about cyanide consumption through 2025 and 2026 is in a way that's consistent with the 2024 year-end numbers, so about 3.5 kilograms a tonne.
Eric Winmill: Okay, great. Really appreciate it. Thank you. And maybe a bit of a tough question to answer, but obviously, tariffs are in the news front and center these days. Any potential impacts you think in terms of imports into Mexico and some of your reagents, things like that?
Jody Kuzenko : Yes. I mean, like everyone, we've run through the potential tariff scenarios, Canada, United States, Mexico and China through our supply chain. The comments I would make are this. The placing of our gold and copper isn't going to be impacted. We've got lots of optionality there. So we're not concerned about that. So, the big question remains is how it's going to creep its way into the supply chain. Our key reagents, namely cyanide specifically, won't be impacted by the tariffs that we can see now. So we're feeling pretty good about that. And we have a roundabout number if all of the tariffs come through here at 25% plus 10% from China, about $10 million through the entirety of our supply chain. I know that could change, of course, depending on what the U.S. administration does or retaliatory tariffs. from Mexico. So the goal for us is twofold. One, create supply chain optionality so that we can maintain margins as best possible here. And as I've said to the team, we think we're in an anything can happen world here for the next four years. Our goal is to tuck in and produce gold at the best margins possible. And so we're busy working on that.
Eric Winmill: Okay. Fantastic. Again, I know it's tough to see what's going to happen in the future, but I appreciate the added guidance that helps. Maybe just last one for me and not to get too granular, but on the exploration, I was interested in the comments here about this sort of first pass drilling at some of these targets. I think you said El Naranjo and Todos Santos, maybe [indiscernible] Just wondering what the status is on some of those targets? And are you looking at sort of mob and demob on the drill rigs and obviously need to wait for assays to come back before you scale up those programs? Or what's the kind of status of some of these earlier maybe greenfield or regional targets?
Andrew Snowden : Yes. So, Todos Santos, for example, is now being drilled. So that program will -- is about 5,000 meters. We'll complete that this year, and then we'll do the evaluation through this year and decide if it comes back into the drilling plan for next year. The rest of the programs are sort of between 5,000 and 10,000 meters. We'll let those initial programs be completed, get the assays. And then as we go into the 2026 budgeting process, we'll decide on which one should be the priority. So, none of them are really going to be stop and start. We're going to do the initial drilling, see how they go and then make a decision if they pass that next stage gate. Obviously, when you got Media Luna and ELG underground drilling, again, we have a little bit more flexibility to be mobile where we want to drill. But again, those are pretty solid programs for this year. And then Media Luna East, given the potential that we may be able to drill it off from the underground later this year, that could get some flexibility and maybe get more meters for the same dollar spending. But again, right now, we're doing -- we're assuming most of that drilling will come from surface. But if we can get more underground drilling, we'll just get more meters for the same dollar. So, I would say most of the programs for this year are going to be sort of set. It's really going to be how those play into the 2026 and 2027 exploration programs.
Eric Winmill: Okay. fantastic. That helps. We’ll look forward to the update there and yes, really appreciate you taking my questions. I’ll hop back in the queue. Cheers.
Dan Rollins : All right.
Operator: [Operator Instructions] The next question is from Jeremy Hoy with Canaccord Genuity. Please go ahead.
Jeremy Hoy : Good morning Jody, Andrew and Dan. Thanks for taking my question. On the theme of exploration, some great targets there near mine and regionally. Can you just remind us what's required for permitting to bring that into the mine plan?
Dan Rollins : Yes. So I would say that one of the -- we have sort of most of the agreements in place to get access to the land. With permitting, the main one we're waiting for is Media Luna East. We announced that agreement with the [indiscernible] community late last year. That will give us access to about 1,500 hectares to drill there. That's in the pipeline as part of our annual permitting process. We hope to have those permits in place to begin the drilling program there sort of mid-2025. But the rest of them sort of permits are in place or land access agreements in place to do those drilling programs.
Jeremy Hoy : Okay. And so assuming success, nothing major required to actually get in there and mine them?
Dan Rollins : That is correct.
Jeremy Hoy : Okay. Great. Last question for me is if we could just get an update on your thinking around capital returns. I believe that you've got the NCIB in place and have been discussing internally a potentially low, but sustainable dividend. Is that still the case? And when might we hear more about that?
Andrew Snowden : Hi, Jeremy, it's Andrew here. I'll take that question. And so I mean, really, our position on return of capital is unchanged. I mean, we've been discussing for some time our intent and desire to commence a return of capital program around mid-2025 once we're through the Media Luna build and through the early stages of the ramp-up. That's still very much the plan. And we expect, as I mentioned in my commentary, to start producing pretty significant free cash flow commencing mid this year. And so including a return of capital program within our broader capital allocation framework is appropriate. And the way we're thinking about that, again, is consistent with what you just described, Jeremy. I think a combination of potentially a sustainable dividend, coupled with -- depending on what the share price is doing, but coupled with a share buyback program. And although we did issue the NCIB late last year, we haven't purchased anything back under that program really in the short-term, in the final stages of the build, we were looking at that more opportunistically versus a more fulsome return of capital program that we'll look to announce around middle of this year.
Jeremy Hoy : That's great color. Thank you. I'll step back in the queue.
Operator: As there appear to be no more questions, this concludes today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.